Operator: Good day. And thank you for standing by. Welcome to the C3.ai, Inc.'s Second Quarter Fiscal Year 2026 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you'll need to press star 11 on your telephone. Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker today, Amit Berry. Please go ahead.
Amit Berry: Good afternoon. And welcome to C3.ai, Inc.'s Earnings Call for the 2026. Which ended on 10/31/2025. My name is Amit Berry, I lead investor relations at C3.ai, Inc. With me on the call today are Stephen Ehigian, Chief Executive Officer, Hitesh Lath, Chief Financial Officer, and Tom Siebel, Executive Chairman. After the market closed today, we issued a press release with details regarding our second quarter results, as well as a supplemental to our results. Both of which can be accessed through the Investor Relations section of our website at ir.c3.ai. This call is being webcast and a replay will be available on our IR website following the conclusion of the call. During today's call, we will make statements related to our business that may be considered forward-looking under federal securities laws. These statements reflect our views only as of today and should not be considered representative of our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks, and other important factors that could affect our actual results, please refer to our filings with the SEC. All figures will be discussed on a non-GAAP basis unless otherwise noted. Also during today's call, we will refer to certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures to the extent reasonably available is included in our press release. Finally, at times in our prepared remarks, in response to your questions, we may discuss metrics that are incremental to our usual presentation to give greater insight into the dynamics of our business or our quarterly results. Please be advised that we may or may not continue to provide this additional detail in the future. And with that, let me turn the call over to Stephen.
Stephen Ehigian: Thank you, Amit. Good afternoon, everyone, and thank you for joining our call today. Our results in Q2 were solid. Revenue grew 7% sequentially and bookings increased by 49% sequentially to $86 million. High-value deal activity was particularly strong. We closed 17 agreements over $1 million and six agreements over $5 million. You'll remember that we previously warned that a government shutdown would have an adverse effect on our business. No one could have predicted that the shutdown would last 43 days. However challenging we thought it could be, it was far worse. It created headwinds across our federal business. In both the Department of War and in civilian, also affected related markets including shipbuilding, health care, manufacturing, and industrials. Despite these headwinds, we delivered a fine quarter, and I'm proud of the company's execution. We saw significant traction in the federal business. Total bookings across federal, defense, and aerospace increased by 89% year over year and accounted for 45% of total bookings. We signed new and expansion agreements with the US Department of Health and Human Services, the US Department of War, US Intelligence Community, the US Army, the Naval Air Warfare Center Aircraft Division, the Naval Sea Systems Command, the US Marine Corps, and Los Alamos National Laboratory, among others. The federal market continues to be a large growth vector for us. The opportunity there is huge. Across government, agencies are focused on moving away from bespoke government-built solutions and towards commercial off-the-shelf solutions that can deliver production AI quickly and securely. Virtually every agency is now reevaluating its technology stack. Executing the administration's AI action plan, and driving the revitalization of America's industrial base and technology leadership. For example, this quarter, the Department of Health and Human Services selected C3.ai, Inc. to establish a unified secure, and scalable data foundation for enterprise AI. Across the National Institutes of Health and the Centers for Medicare and Medicaid Services, HHS will use the C3 Agentic AI platform to consolidate siloed data environments, improve data quality, and governance, and enable new research, analytics, and applications. While enforcing strict privacy and security requirements. The department will also use C3 Agentic AI to automate complex labor-intensive administrative workflows. We also significantly expanded our contracts with The US intelligence community. For decades, fragmentation in intelligence systems has limited analysts' ability to form a complete operational picture. Intelligence information required by analysts has been historically accessed through siloed legacy applications. Where each application is tied to a unique data type and where the source data is fragmented across disparate systems. This data includes signal intelligence, electronic intelligence, human intelligence, imagery intelligence, open source intelligence, and geospatial intelligence. Using C3.ai, Inc. all types of intelligence contained in those sources are aggregated into a common generative AI application providing one pane of glass to all Intel analysts. This provides a common application for analysis of all data sources and, in addition, accounts for the intersection and combinatorics of all data types. Across space, and time. Importantly, this dramatically facilitates communication and coordination among and across intelligence analysts. Our federal opportunities further accelerating through our partner ecosystem. Government mandates require our partners to provide solutions as commercial off-the-shelf technology. Known as COTS, rather than legacy custom-built government off-the-shelf solutions or GOTS. By enabling our partners to sublicense the applications that they develop using the C3 Agentic AI platform, our federal partners are able to easily meet the federal cost mandate. In Q2, Booz Allen, amongst others, joined the C3.ai, Inc. integrator program for this exact reason. In the private sector, I'm encouraged by the progress made this quarter. Exemplified by the big customer wins with category-leading companies including AMD, GSK, Signature Aviation, Air Products, US Steel, Duke Energy, Cargill, BAE Systems, La Poste, Olsom, and more. These wins are with organizations looking to operationalize AI across the core of their businesses. From finance and R&D, to production and supply chain. GSK is a prime example. They're standardizing on the C3 Agentic AI platform using it as their enterprise AI operating system across the company to drive critical decisions. Addressing strong results in vaccine demand forecasting, accuracy, they're now scaling these benefits enterprise-wide. To drive better decisions, greater efficiency, and faster delivery of critical medicines. Signature Aviation advanced to full production across 20 facilities after seeing strong results in their IPD. Or initial production deployment. They operate some of the busiest private aviation facilities in the world. We're predicting demand optimizing aircraft movement, and ramp space utilization is the key to increase revenue and EBITDA. Their teams can instantly adjust and ask operational questions in natural language, through C3 generative AI. C3.ai, Inc. has built a formidable partner ecosystem including with Microsoft, AWS, McKinsey, Baker Hughes, Booz Allen, and more. This ecosystem is operating at increasing scale. And we're moving decisively to ensure we realize the full potential of these partnerships. As an indication of progress, 89% of our bookings in Q2 were closed with and through this partner ecosystem. Our joint twelve-month qualified opportunity pipeline partners grew by 108% year over year. The Microsoft partnership is scaling rapidly. We celebrated the first anniversary of our strategic alliance, and in that time, we jointly closed more than 100 customer agreements across 17 industries. Generating over $130 million in C3.ai, Inc. bookings. In Q2 alone, we closed 24 joint agreements and expanded activity contributed to a 146% year over year increase in joint qualified pipeline. We're also seeing strong activity with AWS. Closing nine joint agreements in the quarter and hosting multiple C-suite level events that help drive a 172% year over year increase in joint qualified pipeline. Now turning to products. This quarter, we launched C3.ai, Inc. Genetic cross automation. This release materially changes how enterprises will run their operations, and expands the scope of what customers can accomplish with our platform. This innovation enables our customers to encapsulate full business and industrial processes, through autonomous AI agents. They can describe complex workflows in natural language, and the system builds and deploys the result in AI agent in minutes. This substantially increases our addressable market opportunity allowing us to serve the entire robotic process automation market. With Agentic AI software agents rather than rigid and deterministic RPA routines. The functional and technical leadership of the C3 Agentic AI platform and its associated applications was recognized as the leading AI software platform in industrial AI by Verdantex. Awarding us the highest scores of all vendors as measured by technical capabilities, and market momentum. Having spent the last quarter in nonstop meetings with customers, partners, investors, prospects, and employees, it is clear to me that the opportunity at C3.ai, Inc. is bigger than I had imagined. The fundamentals of our business are strong. A large and expanding addressable market. A proven market-leading platform a growing suite of AI native applications. Highly satisfied customers, and a leadership team focused on execution. I've worked closely with my management team to craft a detailed execution plan to return the company to rapid growth and a path towards free cash flow positive and non-GAAP profitable. To do so, I'm focused on two things. First, drive sales execution with relentless discipline and focus on delivering rapid economic value to our customers and two, double down on the products and industries where we have demonstrable leadership and success. On sales, I'm raising the bar of execution with sharper qualification and rigorous deal reviews. IPDs remain our primary landing motion. Many of our major wins, Dow, Wholesome, HII, and GSK, start as IPDs. And this continues to be the most efficient and scalable way to introduce customers to our platform and expand enterprise-wide deployments. I've implemented a comprehensive program to focus on delivering economic value with every engagement. And to elevate both the quality and volume of IPDs our partners. I've established an exacting execution model to ensure each IPD set up for success. I am personally driving these reviews and focus on increasing conversions and accelerating production scale outs. Beyond IPDs. We will prioritize expansions of our strategic lighthouse accounts. On products. I'm sharpening the focus by doubling down on areas where we have demonstrable leadership. Clear customer success, and the right to win, including industrial as performance, supply chain optimization, supply network risk, demand forecasting, production optimization, and generative AI. On vertical markets, I'm concentrating our efforts on our fastest growing sectors, federal, state and local, energy, health care, manufacturing, and other select commercial markets where we are best in class. Enterprise AI is moving from experimentation to full-scale deployment. Customers want to move faster, scale sooner, and embed AI as a core operating capability that delivers measurable economic value. And our platform is built for this moment. Our product roadmap, C3.ai, Inc. data fusion, C3.ai, Inc. vision, C3.ai, Inc. Agentic everywhere, C3.ai, Inc. Agentic Cross Automation, and a C3.ai, Inc. developer hub will dramatically increase both the speed with which customers can develop and deploy applications and the rate at which these applications can be broadly deployed across the enterprise. As we enter Q3, I've completed an exhaustive and detailed planning process with the C3.ai, Inc. leadership team. We have crafted a detailed financial model that precisely allocates every human resource measures and meters every dollar of expense, and details every revenue source by line of business by market. I believe the execution of this plan will facilitate our return to growth and provide a clear pathway to cash generation and non-GAAP profitability. I and the extended management team have written clear and precise operational objectives that fully account for the performance of each business unit and their interdependencies the execution of which will result in the attainment of our financial plan. These company and departmental business objectives, the attainment of which will be measured weekly, have now been assigned across every department to all managers and employees each of whom have written and published their own respective objectives in our company performance management system. All performance incentives and compensation opportunities for every employee and management are now tied to the attainment of these objectives. We have a clear and attainable financial model. A clearly articulated detailed execution plan, Every manager and every employee understands the resource they have available and the obligations for which they are responsible. The market opportunity is huge. The management plan and team is in place. And we're focused on heads down assertive execution with clear accountability. In closing, I will again acknowledge the outstanding efforts of the C3.ai, Inc. team attaining fine economic results and I want to thank you for your time. Now let me turn it over to our CFO, Hitesh Lath, to provide more specifics on the operating results of the quarter.
Hitesh Lath: Thank you, Stephen. I will share our financial results and provide additional color on our business. All figures are non-GAAP, unless otherwise noted. Total revenue for the quarter was $75.1 million, a quarter over quarter increase of 7%. Subscription revenue for the quarter was $70.2 million, a quarter over quarter increase of 16.5%, and representing 93% of total revenue. Revenue from the sale of software licenses that do not require maintenance and support services and for which revenue is recognized upon delivery to the customer was $21.9 million during the quarter. Professional services revenue was $4.9 million, of which $3.9 million was revenue from prioritized engineering services or PES. Professional services represented 7% of total revenue during the quarter. Our subscription and PES revenue combined was $74.2 million and accounted for 99% of total revenue. Our bookings during the quarter were $86.4 million, an increase of 49% from last quarter. Non-GAAP gross profit for the quarter was $40.9 million and non-GAAP gross margin was 54%. Non-GAAP gross margin for professional services was 72%. As compared to fiscal 2025, we expect to continue to see moderated gross margins in the near term primarily due to high mix of YPDs. Which carry a greater cost of revenue during the initial production deployment phase. And due to our investments in expanding our support capacity and lower economies of scale. Non-GAAP operating loss for the quarter was $42.2 million. Non-GAAP net loss for the quarter was $34.8 million and $0.25 per share. We remain focused on expense management and improving operational efficiency without compromising our strategic investments primarily in the sales, and customer services organizations. During the quarter, we reduced our non-GAAP expenses by $10.7 million quarter over quarter. This was through a combination of reduction in personnel cost, cloud infrastructure cost, sales and marketing, and through improvements in overall operational efficiency. Free cash flow for the quarter was negative $46.9 million. We continue to be very well capitalized and closed the quarter with $675 million in cash, cash equivalents, and marketable securities. During the second quarter, we signed 20 IPDs including six GenAI IPDs. At the end of the quarter, we had cumulatively signed 394 IPDs of which 269 are still active. This means they are either in their original three to six-month term or extended for some duration, or converted to ongoing subscription or consumption contract, or are currently being negotiated for conversion to ongoing subscription or consumption contract. Now I'll move on to our guidance for the next quarter. Our revenue guidance for 2026 is $72 million to $80 million. Our guidance for non-GAAP loss from operations for Q3 is $44 million to $52 million. Our revenue guidance for fiscal year 2026 is $289.5 million to $309.5 million. Our guidance for non-GAAP loss from operations for fiscal year 2026 is $180.5 million to $210.5 million. Our guidance for Q3 and fiscal year 2026 reflects sequentially higher sales and marketing expenses in Q3 and Q4, due to major marketing events, including World Economic Forum, and Transform. With that, I'd like to turn the call over to the operator to begin the Q and A session. Operator?
Operator: Thank you. To ask a question, please press 11 on your telephone. And our first today comes from the line of Patrick Walravens of Citizens. Your line is open.
Patrick Walravens: Oh, great. Thank you very much. And, Stephen, nice job stepping in here and driving the bookings. I thought it might be helpful if you could just, sort of take a step back. I mean, two quarters ago, this company was, you know, growing in the 70. And now the business is shrinking and the gross margins are down and the losses are big. And I think some of us understand sort of the setup that you walked into. But if you could just take a minute and explain, you know, why the business fell off by so much and then, the steps you're taking to bring it back picture, think that would be really helpful.
Stephen Ehigian: Patrick, thank you very much. The biggest thing I would say is sales execution and Tom hit on this last quarter, fell off. It was totally unacceptable, and Tom would probably acknowledge that his health contributed towards that. So I think he spoke at that at length on the last call. That was attributed towards the poor performance. But I can say this, being in here for ninety days now, the demand for C3.ai, Inc. and enterprise AI is only accelerating. I've been actually surprised coming in here how much bigger the opportunity was than when I first came in. So the market's there, the product itself, I've spent countless meetings with customers and prospects and partners. We have a world-class product. And I hear this. I see the NPS scores but I'm also, seeing this in the amount of economic value we've been delivering. And I think that was maybe lost sight earlier this year. When we actually focus on delivering real value the actual results come. I think GSK is a great example of that. That started off as an IPD to do, like, demand forecasting accuracy. They saw real value, and that converted, into an enterprise-wide agreement. So, you know, from my perspective, we need to focus on more of those opportunities, be very disciplined, I, you know, I can tell you what I'm seeing going forward. We have the plan in place, and the operational rigor to go deliver on this. Last thing I'll highlight is we have the talent density. I've been part of a lot of great teams. This is the best team I've been a part of, not just pure intelligence, but people who truly care about the customer. And I see that every day. I hear that from our customers how much they love not just the technology, but the people. And then last thing on my side, I would say Tom Siebel. Obviously, everyone knows Tom. He's a phenomenal businessman, entrepreneur, philanthropist. Also been a phenomenal mentor and supporter of mine. So I want to say thank you, Tom. It's an incredible ninety days and very excited for Q3.
Patrick Walravens: Alright. Fantastic. And then just a follow-up, and I know you're not guiding to it, but just in general, how is your confidence in getting this business back to growth and profitability?
Stephen Ehigian: I would say Q2 execution was very strong. It was solid results. I'm confident in the opportunity ahead of us. We gotta execute that. I mean, there's no there's work to be done. Yeah. So I'm not gonna say it is easy, but I know the market there, the technology can deliver. It's purely, like, I gotta drive this business is what you're hearing from me. And I believe we have the plan in place to go do so.
Patrick Walravens: Fair enough. Alright. Thank you very much.
Stephen Ehigian: Thank you.
Operator: One moment for the next question. And our next question will be coming from the line of Mike Cikos of Needham and Company. Your line is open.
Matt Calitri: Hey, team. This is Matt Calitri on for Mike Cikos over at Needham. Thanks for taking our questions. I want to start with a clarification, Hitesh, you mentioned $21.9 million during the quarter. I forget exactly how you described it, but was that from demo licenses? Was that what that was?
Hitesh Lath: That is correct.
Matt Calitri: Okay. Great. And then sticking on the revenue line, it was quite a big change and mix between subscription and ProServe. I know you've talked about professional services generally staying within 10% to 20% of revenue long term. Any changes to that outlook? Is there any reason I should stay at these levels or anything to think about there?
Hitesh Lath: Yeah. I would say in the long term, we would expect our gross up mix to continue to stay between 10% to 20%. Our professional services mix this quarter was on the lower side. That was primarily due to lower PES revenue. And PES, we sell these prioritized engineering services on an opportunistic basis, to some of our large customers. So that is we had a lower PES revenue just because of the low demand this quarter. But on a go-forward basis, we would generally expect to be between 10% to 20%. Pro cell mix as I mentioned.
Matt Calitri: Got it. Okay. Thank you. And then maybe on the public sector, pretty strong bookings growth despite some of the headwinds you guys spoke about. Just wondering what your view is there for the rest of the year going forward and obviously, any lingering impacts of this extended shutdown?
Stephen Ehigian: The strength of the federal business is gonna be a durable growth engine for C3.ai, Inc. There's multiple factors, and I'm kinda related to my time in government, and the other side of this, there's a big push within the government to buy more commercial off-the-shelf solutions. So moving away from government-built. So that's one big tailwind. The other is this push to drive AI adoption for the AI action plan. And I think there's a every single almost virtually every agency is reevaluating their AI, their AI of what solutions are in place, and they're doubling down on areas where they can actually get real value. And I would say the third big piece is the reindustrialization such things as the maritime industrial base. These are multiple years of generational changes in terms of investments to prepare ourselves, and we are benefiting from all three of those trends. COTS focus, the AI action plan adoption, and then the reindustrialization of the maritime industrial base. I expect that to continue.
Operator: As a reminder, if you would like to ask a question, please press 11 on your telephone. And one moment for the next question. Our next question will be coming from the line of Brian Esses of JPMorgan. Your line is open.
Brian Esses: Hi. Good afternoon. Thank you for taking the question. Stephen, great to see that color that you provided on how you're approaching maybe getting the company back on its feet. I guess if we think about facilitating a pathway to better growth, and I think you gave us some nice detail around incentives or initiatives that you've done with the management team to maybe drive accountability. Are there a few north stars that you could point to where, you know, you're setting expectations and holding management accountable for delivering better execution going forward?
Stephen Ehigian: Yeah. Honestly, it's starting the small things, and a big driver of our growth is gonna be the IPD motion. That is the most efficient way for us to deliver value to the market and our customers. So it's the qualification IPDs. It's the rigorous evaluation and setting milestones. And working very closely with our customers. If I had to say the one thing we need to do better, it's to continue to drive a rigorous evaluation and delivery of value as fast as possible. I find when we actually deliver economic value quickly, it converts much faster. So I think there's a direct correlation. You can expect my focus will be on that, going forward. The technology is there. It's literally demonstrating value as fast as possible in these sales cycles. So that's my North Star.
Brian Esses: Are these initiatives to tie back to, I guess, discrete metrics that we can see kind of, like, looking from the outside, whether it's, like, bookings or subscription revenue or, you know, how might we kind of evaluate progress as you kind of execute on your plan over the next number of quarters?
Stephen Ehigian: I would say bookings are gonna be the leading indicator of how to evaluate C3.ai, Inc. As well as the growth in the IPD, in production revenue.
Brian Esses: Got it. Super helpful. Thank you so much.
Operator: At this time, I would like to turn the call back to Mr. Ehigian for closing remarks. Please go ahead.
Stephen Ehigian: Thank you all for joining us today and for your continued engagement. We appreciate your questions and look forward to updating you on our progress next quarter. Thank you.
Operator: Thank you all for joining today's conference call. You may now disconnect.